Operator: Good morning. Welcome to the Colgate-Palmolive's First Quarter 2020 Earnings Conference Call. This call is being recorded and is being broadcast live at www.colgatepalmolive.com. Now, for opening remarks, I would like to turn this call over to Chief Investor Relations Officer, John Faucher. Please go ahead.
John Faucher: Thanks, Mary. Good morning, and welcome to our first quarter earnings release conference call. This is John Faucher, Chief Investor Relations Officer. Today's conference call will include forward-looking statements. Actual results could differ materially from these statements. Please refer to the earnings press release and our most recent filings with the SEC, including our 2019 annual report on Form 10-K and subsequent SEC filings, all available on Colgate's website for a discussion of the factors that could cause actual results to differ materially from these statements. This conference call will also include a discussion of non-GAAP financial measures, including those identified in table six of the earnings press release. A full reconciliation to the corresponding GAAP financial measures is included in the earnings press release and is available on Colgate's website. Please note that starting today in both the press release and the conference call, we are now using the term Base Business to refer to non-GAAP measures that exclude certain items in both the current and year ago periods.  Joining me on the call this morning from their homes are; Noel Wallace, Chairman of the Board, President and Chief Executive Officer; and Henning Jakobsen, Chief Financial Officer. Noel will start off with his thoughts on the current operating environment, and how we are adapting to the uncertainty about COVID-19 and the economy. I will then discuss our Q1 performance and provide some context around 2020 before opening it up for Q&A. Given the busy conference calls scheduled today, we request that you limit yourselves to one question so that as many people as possible get to ask the question. If you have further questions, you are welcomed to re-enter the queue. Now, I'll turn it over to Noel.
Noel Wallace: Thanks, John, and good morning, everyone. First, I hope that you and your families are safe and well during these unprecedented times. Obviously, we're operating in a difficult environment, and we expect things to stay difficult for some time. But there's one thing you should know about Colgate-Palmolive and the 34,000 people at the heart of our company, we're at our best when times are difficult. I want to thank all of the Colgate people around the world, many of whom are listening to this call, who have scaled enormous obstacles to keep our business running and to deliver the results that we reported today. We thrive in difficult times because we are at the heart, a local company with global brands and strategies and best-in-class execution. Our locally based operating model, financial discipline and sound balance sheet helped to position Colgate to emerge from this crisis an even stronger company. We produce and sell products that people rely on every single day to keep themselves and their families, including their pets, safe and healthy. Our responsibility to our employees, our customers, our consumers and our communities has never been greater. We treat this responsibility with the utmost seriousness and intend to do our best for all of our stakeholders, including our shareholders. That said, and despite strong Q1 results, we have chosen to withdraw our annual guidance for 2020. This was not an easy decision for us. However, given the combined uncertainty surrounding the future impact to COVID-19 and government actions to stem the spread of the virus, we believe this is the correct choice. The second and third order effects of this crisis through economic stress to our supply chain, retail partners and consumers are difficult to predict at this point, particularly as they're intertwined. As we proceed through the year, we hope to provide you with updated guidance when it proves feasible. In that light, I want to focus on what we are -- how we are managing through the crisis to give you the context for what we're facing, but also some confidence in how we are meeting this head on. I'll discuss three topics; how staying true to our values and purpose is helping us navigate this environment, how we're adapting our strategies and executing with agility and how we are managing through the crisis with an eye towards the future. Staying true to our values and purpose is vital in the current environment as it impacts both our people and our brands. Our number one priority around the world is the health and safety of our Colgate people and their families. In order to deliver on that, we have to implement many policies and procedures to enhance health and safety standards within the company. We have advanced our safety and screening protocols and made adjustments to our work processes to support social distancing. Where possible, we're expanding these policies to our third-party partners. Additionally, we are expanding our health and wellness programs for our people, including counseling, paid time off to care for family members and flexible schedules to adapt to changing family circumstances. We have talked to you a lot over the past years about brand purpose and consumers' preference for brands to give them something to buy into. The results we have seen in the marketplace show that consumers are responding to this crisis by focusing on trusted brands. Our marketing teams have created new programs and adapting existing ones to lean into our brand purpose. At the beginning of the year, we began to roll out a new equity campaign for Colgate Toothpaste based on the inherent optimism of the brand. The central idea is powerful, using Colgate Toothpaste gives people the confidence to smile on regardless of the challenges or questions they face. We've adapted this campaign in digital settings to highlight how important smiles are in a world where we can't be with the people most important to us. So these days, you just smile, whether on Google Hangouts, Zoom or FaceTime, that lets people know that you feel -- well, lets people know how you feel about them. We know handwashing is a first-line of defense against the coronavirus, and we're very proud of our work with the World Health Organization to promote handwashing by distributing 25 million free bars of soap. We initiated this program to support WHO's #SafeHands campaign and are partnering with Save the Children in care to distribute the product, particularly in emerging markets where the need is most acute. We're also donating $20 million worth of health and hygiene products to help consumers in hard hit areas. In New York City, our hometown, we've been donating product to health care workers and first responders all over the city. The second topic is executing our strategy with even greater agility. The strategy that we have discussed with you over the past two years is working as evidenced by our reacceleration in organic sales growth during that time. But we know that simply executing our existing plans isn't enough. We need to be even more agile in this new world. We are still focused on our core brands, innovation in faster-growth segments and expansion in high-growth channels and markets. While we will make some shifts in priorities and timings, our key focus areas do not need to change. Delivering on our core brands will be vital over the foreseeable future. Consumers want to know that the products they are buying are effective and provide good value. This aligns with our portfolio as our core brands are often at base and mainstream price points, which we expect to become bigger focus areas for retailers and consumers as the economic pressures have increased unemployment mount. Our core innovation strategy will bring news to these big segments and is intended to bring added value in a period where price increases may be difficult to take. We will also continue to focus on innovation in faster-growth segments. Our plans for 2020 and 2021 will still include significant premium innovation as it is often innovation that drives store traffic. As part of our efforts to expand our business in faster-growth channels, we have focused even more aggressively on e-commerce and direct-to-consumer. This was the learning that we took from our experiences in China in the first quarter, which helped us to shift resources towards channels that will benefit from disruption in our markets. We saw significant e-commerce share gains in toothpaste in the US in the first quarter behind the launch of Optic White Renewal. And Hill's worked with their brick-and-mortar partners to accelerate their e-commerce offerings in order to offset lost store traffic. Overall, our e-commerce business was up more than 50% in the first quarter. And our North American division e-commerce sales more than doubled in the quarter versus prior year. Our professional teams have learned new ways to engage their customers in a socially distant world. Similar to what we do with Hill's to Home, PCA Skin is helping their spa customers by having them book orders for direct-to-consumer shipments so they can still drive revenue. But agility isn't just executing our strategy the same way we had planned. In this current environment, it requires streamlining our processes and making decisions more quickly so that we can get better respond to our customers and consumers' needs. There's no better example of this than our global supply chain. As the crisis hit, we mobilized our supply chain teams to offset lost production in China to increase manufacturing elsewhere. We established strict safety procedures in China, which allowed us to reopen our factories in a safe and efficient manner. Now, we are operating at over 100% of our expected capacity in many of our Chinese plants, which is helping to alleviate pressure in countries where COVID is still a developing problem. By taking these procedures around the globe, we helped our Anzio, Italy plant stay open throughout the crisis, delivering 40% more volume in March than initially anticipated. After realizing the scale of the increased demand for many of our health and hygiene products, our marketing and customer development teams worked with our retail partners to develop streamlined product offerings that allow our supply chain to produce fewer SKUs for longer runs, which increased capacity to meet consumer demand. We also identified alternative formulas, materials, packaging designs and product artwork to give us flexibility as we prepare for further disruption in our networks. We have also become more digitally oriented by transitioning 10,000 people to work outside the office. Thanks to the resilience of our global networks, our quarterly closing process is one of the smoothest in memory despite the fact that all of our shared service centers in Mexico City, Warsaw and Mumbai, all working 100% remotely. And all of this happened in just nine weeks since I presented to you at the CAGNY conference. This great work has helped us deliver the results that we reported today. This proven capacity for agility will continue as we encounter ongoing impacts from the crisis, economic uncertainty and foreign exchange headwinds. Our third priority is balancing how we manage to get through the crisis, ensuring that we can win when it's over. We have established our -- we have re-established our top line momentum over the past two years. We need to sustain that momentum and adapt our financial plans to deliver in a very difficult 2020, while leaving ourselves well positioned for growth when markets normalize. We will continue to support our brands through impactful marketing programs. We know that compelling advertising behind strong brands is crucial to maintaining long-term organic sales growth, which is the key value driver for our company. We also need to further invest in the capabilities that are driving growth: digital, e-commerce and analytics. We will not fall behind in building the skills needed for when the economy comes back. Productivity is always a priority for us. And these times, we work even harder to take costs out of the P&L to help offset some of the additional pressure that will come from COVID mitigation, foreign exchange and the weakening economy. Our Funding the Growth initiatives, are ramping up to take out discretionary costs that may be unnecessary given the current business environment. We're using analytics to identify and eliminate promotional programs that are not generating value given the consumer environment we find ourselves in. I will finish up by reminding you of our strategies surrounding cash flow and liquidity, which remain unchanged. We have historically generated significant amounts of free cash flow, a trend that continued in the first quarter. Our priorities for uses of cash include capital investments for productivity and future growth; paying dividends to our shareholders, which we have done consistently for 124 straight years; and acquisitions to accelerate growth. We generally allocate the balance of our cash flow to share repurchase. Consistent with prior comments, we have moderated our share repurchase activity as we focus more of our cash flow on reducing the debt from the Filorga and Hello transactions. Turning to liquidity, we've been issuing commercial paper throughout the crisis. We remain committed to our AA minus debt rating. And as of the end of the first quarter, we have cash and cash equivalents on hand that are more than three times our long-term debt maturities over the next 12 months. We also have access to lines of credit should we need them. So those are our priorities. Although there is tremendous amount of uncertainty right now, I am confident that we have the right priorities, the right strategies and most of all, the right people, Colgate people to navigate through the crisis -- emerge stronger on the other side. And now I'll turn it over to John to discuss our Q1 results and provide some context on our full 2020.
John Faucher: Thanks, Noel. We delivered strong -- operating profit, earnings per share and cash flow in Q1 2020 as we responded aggressively to the COVID-19 pandemic around the globe. We delivered a combination of volume and pricing growth, with organic sales growth across all four categories and in every division except for Asia Pacific, where China and India were negatively impacted by the pandemic. While pantry loading due to COVID-19 obviously, provided the benefit to the quarter, our sales and profit trends were strong through January and February. As Noel mentioned, our underlying growth strategies are working, and we believe they will continue to benefit us going forward even as we adapt to a new reality. On a GAAP basis, our gross profit margin was 60.2%, up 130 basis points year-over-year. On a base business basis, our gross profit margin for the quarter was 60.3%, which was up 110 basis points. Our gross profit margin was up in every division in the quarter. For the first quarter, pricing was 70 basis points favorable to gross margin, while raw materials were a 130 basis point headwind, including the transactional impact from foreign exchange. Productivity added 150 basis points. Mix was a 20 basis point benefit in the quarter. On a GAAP basis, our SG&A ratio was up 90 basis points as a percent to sales. On a base business basis, our SG&A ratio was up 100 basis points in the quarter driven by an increase in advertising to sales as our advertising spending was up 13% year-over-year. Excluding advertising, our SG&A was up slightly year-over-year driven by an increase in logistics costs as we work to meet heightened demand. On a GAAP basis, our operating profit was up 8% year-over-year, while it was up 6% on a base business basis. Our EPS was up 28% on a GAAP basis and up 12% on a base business basis. As Noel mentioned, we delivered strong cash flow growth in the quarter, up 28% year-over-year due to net income growth, favorable working capital performance, lower tax payments and the lapping of a voluntary pension contribution in the year ago period. North America delivered strong growth in the quarter, aided by increased consumer demand across all categories, particularly liquid hand soap and dish soap and household cleaners. As Noel mentioned, we're particularly pleased with the performance of Colgate Optic White Renewal toothpaste, which is driving share gains for the Optic White franchise, both online and in brick-and-mortar. Latin America net sales were flat in the quarter as strong volume and pricing growth were offset by significant foreign exchange headwinds. All three categories delivered strong organic sales growth in the first quarter, led by Oral Care. Both Mexico and Brazil delivered a good mix of volume and pricing growth. Colgate Total delivered strong growth in the quarter, helping to drive our premium portfolio. Our digital marketing campaign that Noel mentioned has reached over 135 million users across multiple platforms with engagement and view-through rates well above CPG norms. Europe's double-digit net sales growth in the quarter was driven by 8% organic volume growth, the inclusion of Filorga, minus 1.5% pricing and negative foreign exchange. Europe's high single-digit organic volume growth was driven across all categories and every hub. Palmolive liquid hand soap and Ajax cleaning products drove strong sales growth across the division, while Sanex Body Wash reached peak market shares. In the U.K., our premium Toothpaste business behind Colgate Total and Colgate Max White Ultimate drove organic sales growth and market share gains for the Colgate brand. The first quarter was a difficult one for the Asia Pacific division. We saw a significant impact on China from the COVID-19 pandemic throughout the quarter, while India was impacted by a country-wide shut down that began in late March. In China, we have begun to see the country open back up. And trends are improving in Q2, but we caution that the country still is not back to pre-crisis levels. We continue to focus on innovation, particularly at premium price points in the e-commerce channel. Our Colgate Miracle Repair toothpaste with concentrated amino acid is the biggest driver of growth for Colgate's e-commerce business and has helped drive a more than 20% increase in average selling price for our e-commerce business in China. In India, we are still experiencing disruptions to both our supply chain and our retail network, consistent with what you have heard from other companies. Trends have started to improve, and our plants are beginning to ramp back up. But we still expect an impact from the crisis in the second quarter. In Africa Eurasia, our strong net sales and organic sales growth was driven by volume growth across every hub. Our focus on faster-growth channels continues to pay dividends, particularly in terms of discounters in Russia and Turkey. We saw a continued improvement in our South African business. Our Protex brand, which delivers anti-bacterial and anti-derm benefits, is uniquely positioned for the current environment and drove significant growth in Q1 in South Africa and many other markets around the world. And I'll finish off with Hill, which continues to deliver excellent results. Those remain an example of how execution of a consistent strategy around brand purpose, core innovation and a focus on faster-growth channels can deliver growth in any markets. Sales growth was led by North America, where continued double-digit growth before the pandemic was augmented by consumer pantry loading late in the quarter. The e-commerce business was up by more than 50% as we drove strong growth across all platforms. In Europe, Hill's delivered it’s fastest net sales growth and organic sales growth in many years, with growth in advance of the impact of the crisis. Prescription diet drove the growth in the quarter, and we are beginning to see the benefit from the Science Plan relaunch. While we are not providing guidance, we want to provide some context around certain factors that you should consider as you work on your models for 2020. Our organic sales momentum continued into April, although foreign exchange continued to worsen as we benefited from the rebuilding of retail inventories and increased demand in certain categories, offset by weakness in some emerging markets. As we mentioned in the press release, based on current spot rates, we expect foreign exchange to have a mid-single-digit negative impact on net sales for the full year. We now expect our tax rate to be in the range of 21% to 22% on a GAAP basis, while on a base business basis, we now expect our tax rate to be in the range of 23.5% to 24.5%. Also, as Noel mentioned, we continue to plan for less benefit from share repurchase in the year as we focus more of our cash flow on reducing the debt from the Filorga and Hello transactions. And with that, Mary, can you open it up for questions?
Operator: [Operator Instructions] We can take our first question from Dara Mohsenian with Morgan Stanley. Please go ahead.
Dara Mohsenian: Hey, guys. Good morning. Hope you’re all well. So you mentioned a potential negative impact on forward category growth in this new environment. Noel, I was just hoping you could be a bit more specific on your expectations in some of the key emerging markets countries. Are we looking at potential magnitude that's significant in your minds or more modest, and perhaps you can compare and contrast the situation we saw in the last recession a little more than a decade ago. And then also from a revenue perspective, one of the unique aspects of Colgate is the professional recommendations, whether it’d be dentists, veterinarians or dermatologists now. So, can you just help us understand how much of an impact the lack of office visits you think could have going forward on market share and ultimately, revenue? Thanks.
Noel Wallace: Good morning, Dara. Let me start with taking a step back on, as you referenced, 2008, 2009 and reaffirm some of the strengths that allowed us to emerge through that crisis stronger. The portfolio of our business is very strong in recessions, as you well know. We have price points across the full continuum, particularly our core businesses. Playing on your comment around the professional endorsements that historically played very well for us and will continue to play very well for us during this crisis, particularly given the scientific nature of our products, and the efficacy of our products, and I wouldn't expect given that some people will not be visiting the profession, the strength of the brand will be altered in any way during that period. The brand continues to be very, very strong, and our endorsements from the professional all over the world continue to be strong. So I don't anticipate that we'll have any issues certainly some of our business moving through the profession will be impacted in the short-term, but long-term the brand strength will continue to prevail in this in this period of time. Moving on to the category, listen, we've seen a lot of volatility in the categories. Hence, one of the reasons that we pulled guidance. There's a lot of uncertainties as things jump up and down. But rest assured people are still brushing their teeth. And as you've seen, people are still taking a lot of showers and washing their hands. In some categories, we expect the behavior change to be quite consistent over the next couple months. Liquid hand soap bar soap, bar cleaners, we've seen a real acceleration in consumption in those categories. And our anticipation is those will continue. Oral Care has been negative as some of the pipeline comes out from February and March and April. But we expect that category will come back, particularly as economies start to loosen up and you get more and more traffic coming back in the stores. As you've seen, we've had tremendous growth in e-commerce. That was what we discussed at the CAGNY, a big, big focus area for us over the last nine months. We put a lot of resources into that space. We're really learning. Obviously, the Hill's business is best-in-class. We're transferring those learnings around the world. So we're getting consumption in the categories that you're seeing quite weak in brick-and-mortar coming through in e-commerce now. And certainly, that will play well for us longer term. So overall, categories will come back, a lot of volatility right now in emerging markets. I was on the phone this morning with our Asia team, and they're seeing things come back quite nicely. We're about 75% of where they were pre-crisis, but that has stepped up meaningfully over the last six weeks or so. And so overall, we'll see categories come back, but it's about getting store traffic back and getting some of the economy solution. But overall, looking okay.
Operator: And we can now take our next question from Andrea Teixeira of JPMorgan. Please go ahead.
Andrea Teixeira: Thank you. Good morning, and hope all is well. So you sounded very positive to Dara's question on consumption trend, especially soap. So Noel, I was hoping if you can comment a little bit of consumption and what's happening in April. Are you still working on replenishing the shelves? Or did you benefit from stockpiling, primarily, I would say, probably in North America and Western Europe? Or are you seeing trends reaccelerate as you go? And how much production capacity are you being able to keep up to your comments about Asia and other parts of the world? Thank you.
Noel Wallace: Sure. Thanks, Andrea. So let's take North America first. Obviously, significant spikes in March relative to consumption, a lot of the panic buying, but more importantly, some of the trends I articulated earlier around how we're seeing consumption increase in certain categories like bar soap, like liquid hand soap, like floor cleaners. And that has continued through April, as John said. We've seen strong category growth in those specific areas. Obviously, some of the momentum that we're seeing in April is replenishing inventories that were at very low levels coming out of March, particularly in those high-demand categories. Conversely, in categories where we saw pantry loading like Oral Care, we've seen the categories come down in consumption as you would expect, given the pantry load that was in March, and no specific reason why consumers would be brushing their teeth more. So it would be what you expect. Categories where consumers are using them more, good consumption and categories that were driven by some of the panic buying has slowed down, and in fact, are negative in April. And that would be consistent for both Europe and the U.S.
Operator: And we can now take our next question from Wendy Nicholson of Citigroup. Please go ahead.
Wendy Nicholson: Hi. Just one housekeeping issue. On Hill's, can you remind us what percentage of that business is e-comm? And I know you said the whole business, the whole company on e-comm was up 50% for the quarter, but can you tell us a sense of how much Hills' e-comm business was up. But then my real question is more structurally, actually on China, where I know you've had some market share challenges over the last couple of years. I'm just curious, because I know that's a very fragmented market. There's so many local brands in the Oral Care category. Do you think you've done anything structural in that category, so that you're going to emerge from the COVID crisis with a stronger market share position? I'm just wondering if the crisis has sort of helped wash out maybe some of that local competition. Thanks.
Noel Wallace: Sure. Thanks, Wendy. Let me take Hill's. Obviously, as John mentioned, the Hill's success, once again, in the quarter was extraordinary. And I think it really points to the underlying strength of that business: one, great core innovation; two, great efficacious scientific brands that play really well in the marketplace; and three, an incredibly adept organization around winning digitally and winning online. Specifically online, to your question, their business was up in excess of the company growth, which was around 54%, 55% for total Colgate. Hill's was up 57% in the quarter and saw good progress across particularly some of the key initiatives they implemented with some of the brick-and-mortar retailers, which was unusual, given some of the struggles that, that retail environment had. But overall, great growth on Hill's. It's a high -- it's in the teens in terms of percent of sales. It continues to grow, obviously, and the success we've had with some of the Science Diet relaunch, particularly in some of the pure-play retailers has been quite notable. Moving on to China, all the strategies, Wendy, that we put in place that we've talked about over the last 18 months or so, repositioning the portfolio, moving significant structural changes relative to moving from brick-and-mortar to online, both in resource and capabilities, all of that is playing out really well for us. We've stepped up our innovation, particularly in the online space. You heard John talk about Miracle Repair. I did get some good news this morning that the Darlie franchise has returned to the number one share of market brand in the country. We had lost share market to Yunnan Baiyao, the local player. We have returned to leadership in March, which is terrific. Shares are up for both Colgate and Darlie in March. We're seeing good progression there, particularly in the online space. More work to do on Colgate. However, the significant repositioning of the portfolio will happen in the back half of this year. But structurally, we've made all the changes that we think are necessary to win. And as I mentioned earlier, I think big brands are going to win in this environment, whether it's in Asia or anywhere around the world, the proven efficacy positioning the scientific knowledge that we have and how we communicate that in our brand purpose, particularly around our core businesses, will bode well moving forward.
Operator: And we can now take our next question from Steve Powers of Deutsche Bank. Please go ahead. 
Steve Powers: Great. Thanks. Noel, maybe just to build on that. You've spoken about what you're seeing today on the ground generally in emerging markets. But can we get a little more insight into how you're thinking about the go forward? Just comparing what you just said there about China to what you expect over time in India versus Eastern Europe versus Brazil and Latin America. And I guess, whether in terms of the shape of consumer demand, the competition and market share outlook. And specific to Latin America, your confidence in your ability to realize pricing where those FX transaction cost pressures are probably going to be most acute over the next couple of quarters? Thanks.
Noel Wallace: Sure. Historically, we handle these crisis is quite well in emerging markets, given the pricing power that we have. So, let's talk a little bit about our strategy right now, which we think will modify slightly as we see some of the recessionary pressures come. Obviously, a lot of opportunity for us in the premium side of the business. We've been discussing that with you for the last 18 months or so, how much upside we have on premium innovation. That will continue to happen as I mentioned. But we will dial up more of our core innovation, particularly given the price points that we have and the size of those businesses in emerging markets. And those tend to be the opening price points in many big markets, whether it's Mexico, Brazil or India. So you'll see more innovation coming in that space, and we're doing a lot of things very, very quickly to adapt to some of the consumer behavior changes we've seen, particularly around the importance of health and hygiene and how that plays out with some of our products. Interesting, as we've gone through the last couple of months, our focus on the Total relaunch, particularly the antibacterial positioning and long-lasting antibacterial benefit that product provides has benefited us greatly in the last six weeks. We've seen some of our big markets, whether it be Brazil, Mexico, U.K., we've seen the premium innovation on Total working. So moving forward a little bit more on core, continue to focus on premium side, but we think we're positioned well for the emerging markets. Now obviously, we can't anticipate how much unemployment will be in some of these markets or potential lockdowns that we'll see coming from COVID, but the portfolio, at least how we're positioning it, we'll be well positioned for the emerging trends that we'll see there. Likewise, the same in India and Eastern Europe, there will be no change. The strategy will be consistently executed around the world, locally adapted as necessary. But we don't see that changing based on any of the markets. China would be perhaps the exception, given some of the portfolio strategies that we'll be adopting in the back half and the specific needs of that market. Your second question around LatAm pricing, again, it's -- obviously, the devaluation has been significant. So we've got a couple of things that we're looking at. Obviously, we've taken pricing. You saw that in the first quarter. We will continue to take pricing, but it will get a little bit more difficult, particularly in the current environment. We've had opportunities to dial back on promotions in some of those markets as we see, obviously, store traffic down. So we've been quite prudent. On how we're thinking about promotional spend, a lot of work on revenue growth management and price pack architecture, particularly now as we move into a recessionary environment. So, we'll see more of that happening. And a little bit more benign pricing environment -- excuse me, material pricing environment moving forward, we think the combination of all of that will allow us to continue to maintain the integrity of the LatAm P&L and maintain the investment, which is still important for us to emerge stronger coming out of this.
Operator: And we can now take our next question from Olivia Tong of Bank of America. Please go ahead.
Olivia Tong: Hi. Thank you. Good morning. Just want to talk about shifts in your view in terms of innovation rollout, given, obviously, there's a lot of stock up already, recession coming. And then just marketing around that. Marketing was particularly strong this quarter. So the support is still pretty high. But just wondering as you think about the rest of the year and where consumer pantries -- positions of consumer pantries, how you think about innovation and marketing? Thank you.
Noel Wallace: Sure. Thanks, Olivia. So as I just mentioned, we're -- we've been doubling down on innovation for the better part of 18 months now. And it's interesting as a management team, as we've gone into this, we've obviously been looking specifically at what innovation is right for the current environment. We will be moving some things around as necessary. We're dialing up some areas. We've orchestrated a series of teams internally to work specifically around some of the common truth that we're seeing, particularly in the health and hygiene spaces: one, how we adopt our portfolio; and two, how we accelerate innovation moving into this. What's interesting is we have just a long history of great clinical studies and claims and science behind our products that we think we can pull out of the jaws and use in this current environment, great formulations with great science and claims that will play into health and hygiene. So we think very appropriate for us to look at our innovation and modify it as necessary moving forward. And the key focus for us here is agility and doing this really, really quickly. So you'll start to see some of that innovation come to the market in the back half of this year already that wasn't necessarily there before. Some of the bigger premium innovations, as I mentioned, will stay. We will alter those based on some of the spacing, whether it's moving out later in the third quarter, so to speak, versus earlier to allow some normalization, particularly in some of our key markets where we see store traffic down quite considerably right now. So that will happen. Continuing to support the business, we've always done that during tough times, and we've come out of it stronger as a result. The brands have emerged stronger. We see competition spending quite a bit, at least on the media side, a lot more movement for us in the digital and e-commerce space, which we're putting a lot more money in. And I think you can see the results that we generated in the first quarter. Certainly, that shift of resources and spending in e-commerce is paid out for. So marketing spending will be prudent and thoughtful moving forward to be sure. But we'll continue to support our brands, which we believe is in the best interest of generating the long-term growth that we want to deliver.
Operator: And we can now take our next question from Kevin Grundy of Jefferies. Please go ahead. 
Kevin Grundy: Thanks. Good morning, everyone. And I hope you are doing well. Noel, question on consumption trends and specifically, those increases in consumption that are more transitory in the current environment versus those that you see as more lasting, given changes in consumer behavior. So we're already seeing a move towards greater working from home. I think there's every expectation that's going to persist, heightened emphasis on health and wellness, accelerated shift to e-commerce, just to name a few. But as you think about your portfolio across Oral Care, Home Care, Personal Care and Pet, can you discuss whether you see a change in consumption trends longer term that are more lasting? If so, do you see this as a net positive for your portfolio? Thank you. 
Noel Wallace: Sure, Kevin. And -- the obvious is we have a very large soap business globally, one of our bigger categories. We obviously have a large liquid hand soap business, particularly in Europe and the U.S. We don't talk a lot about our Home Care business, but we have a very strong Home Care business in Latin America as well as in Europe and growing really quickly in North America. All those businesses, we're seeing behavior changes that we think will stick moving forward. I mean, consumers will wash their hands more, people staying at home will be cleaning their floors more. Obviously, people are washing their clothing more. So our fabric softener business will benefit from that. So categories where we see behavior change, we compete in quite a few of them. Obviously, people aren't going to stop brushing their teeth. And that will continue to be obviously a growth opportunity moving forward for us, but we don't see any sizable changes there. We'll see more volatility in the Oral Care space, I think, because you probably see more pantry loading in terms of how people are buying products coming in and out of the category less frequently. So obviously, as we think about innovation, we'll have to time that innovation quite carefully and be quite prudent on that. So overall, our categories are positioned quite well. Obviously, skin health is an area where we've seen quite a bit of disruption in, whether it be travel retail or some of our pharmacy business in Europe as well as our derm business here in the U.S. And we're working very closely with those teams, particularly in the area of telehealth, working on opportunities to continue to engage those communities so they can serve their customers with product online. We talked about the Hill's to Home model that we've been driving over the last year, which has done very, very well for Hill's. We're expanding that into our skin health business in order to stimulate demand at both institutions and spas as well as derms. So, overall, we'll see that category go through a bumpy road, we think, over the next couple months, six months or so. But if you go back to 2008 and 2009, you know, it took more or less nine months to 12 months for that category to come back. The basic fundamentals for skin health long term are still really, really good. It's a highly profitable category. So long-term, we're very comfortable with where we are, but we'll make the necessary changes in the short-term in skin health.
Operator: And we can now take our next question from Bill Chappell of SunTrust. Please go ahead.
Bill Chappell: Thanks. Good morning. And again, hope you and your family are well.
Noel Wallace: Thanks Bill.
Bill Chappell: Just a kind of question on the supply chain. I mean, certainly remarkable, as I'm sure you're aware, that you and your peers can kind of have manufacturing plants running at 80%, 90% capacity on a regular basis, all of a sudden, takes the surge of the business and really have pretty limited out of stocks. And so I'm just trying to understand what near term, is that margin-accretive business as you're going even faster? Or do you have to have incremental costs that will ease as you go forward? And then longer term, what does that tell you about your supply chain that you can handle that much more capacity when you thought they were already at 80% to 90% utilization?
Noel Wallace: Yes. Thanks, Bill. So again, as I mentioned in my prepared commentary, it's been inspiring to watch our supply chain around the world deal with this. And we have discussions internally how important some of the crisis management meetings that we have throughout the year to deal with contingency planning and risk mitigation. And all of that really prevailed during these difficult times. It's the global supply chain and the standardization that we have and how we operate it, while globally is still very local, we're able to shift resources very, very quickly. So as I mentioned, right out of the gate, when China started to struggle, we shifted resources into Europe immediately. And we're able to supply everywhere that China was supplying out of Europe. Likewise, as Europe started to be challenged or Latin America or US started to be challenged, we were able to shift back to Asia. So there's a lot of flexibility in our supply chain and the credit to the team. A lot of work goes into that, to be sure. Some of the incremental volumes that we've seen, obviously, we pushed to contractors, that comes out of the lower margin. But moving forward, as we work on some of these standardization opportunities that I mentioned, for instance, working with some of our key trade partners to simplify our portfolios, that will allow us to reduce the SKUs that we're producing and bring some of that production back in-house, where we can elevate capacity based on the simplification efforts that come through that. Obviously, strategically, we're also looking at investing in some of these categories to expand capacity as required moving forward to ensure that we can meet the demand that we see ongoing. So, short-term, we anticipate that there's some margin implications with the costs associated with COVID, whether it's logistics or some of the contract that we have longer term or we'll bring that back in-house and find ways to continue to deliver the margin that's accretive to the business.
Operator: And we can now take our next question from Steve Strycula of UBS. Please go ahead.
Steve Strycula: Hi, good morning, Noel and John.
Noel Wallace: Hey, Steve.
Steve Strycula: Question on the incentive structure back to 2019 when, Noel, when you took over as CEO, it seems like there's a greater index waiting to organic sales emphasis and market share performance. So within that, how do we think about there is visible pockets of opportunity over the next two, three years? And specifically, how can Colgate use the volatility in the current marketplace and kind of lean in with investments to emerge stronger during this period of time. And John, quick clarification for the FX implication to sales, how should we think about the multiplier factors, what that could be to EBIT dollars or EPS? Thank you.
Noel Wallace: So, Steve, as I mentioned, these -- we've been around for a long, long time. Colgate, we've dealt with a lot of crisis and depressions and even pandemics at one point in time. So, this is obviously very unusual, and there's a lot of unpredictability, which is, obviously, you've heard in the print throughout the last two weeks, but we continue to focus on the fundamentals, which we've been building for the last two years to strengthen our business. So, it's building `brands with purpose, and that's the reason why we will continue to invest behind our brands. We've always found that our ability to innovate and invest in difficult times allows us to emerge with strong brands and strong income statements as we come out of this. And we'll continue to do that. We've stepped up our productivity measures as you've heard me talk about quite often. We're using digital very differently across the company, the collaboration tools that we put in place going into this based on the Google suite of tools has been, just quite frankly, extraordinary to get 10,000 people working day one virtually was, I think, a testament to our IT organization and what we've been able to do there, likewise, using technology to drive more productivity in our closings, so all of that will continue to dial up as we go through this. Relative to the incentive structure, we'll continue to be focused on organic sales and obviously, bottom line profitability. That continues to be the focus for the company. You've seen the reacceleration of our business over the last six quarters. Even with some of the pantry, we accelerated our organic sales in the quarter, both from a Hill's standpoint and from a Colgate standpoint. So, the underlying fundamentals for the business, we believe, are quite strong. And continuing to invest in them, continuing to build capabilities, as I mentioned earlier, in spaces like digital, e-commerce and analytics, we believe will position us extremely well coming out of this.
Operator: And we can now take our next question from Lauren Lieberman of Barclays. Please go ahead.
Lauren Lieberman: Great. Thanks. Good morning.
Noel Wallace: Hey Lauren.
Lauren Lieberman: I wanted to talk a little bit more -- we've talked about Latin America quite a bit. But what we have been thinking about is the degree to which some of the strategies that you'd outlined as part of your longer-term plan around premium innovation and pursuing new channels. But part of this is about kind of accelerated category growth in the region as maybe some of the household penetration or daily usage trends have kind of plateaued at some level if there is an opportunity, but the pace of development on those factors has been a little bit less. So, if we go into a severe recession in those regions, does sort of the growth of the market flow or go -- the efforts you were trying to leverage to accelerate the growth, is that just a bit less effective in the near term or intermediate term? Or am I missing something in terms of there's more opportunity on household penetration or usage that can keep market growth rates healthier.
Noel Wallace: Yes. Thanks, Lauren. It really depends on the category. I mean, obviously, some of the ones I mentioned earlier like liquid hand soap and bar soap, we will expect in emerging markets, for instance, liquid hand soap penetration to grow. Those are fundamentally bar soap markets. But the efficiency and hygiene nature of liquid hand soap may lend itself to increase band penetration. Products like spray cleaners and wipes, we'll see more penetration grow, and we're expanding those as well. So there are certain categories where we see certainly the opportunity to grow penetration, particularly ones that are -- provide an efficiency or an added value, and that will be our focus. Consumption in those categories, likewise, will probably offset some of the pricing pressures that you'll see in some of those markets. We typically found not significant trade down in recessions, but you do get some for sure. And we've been able to deal with that with revenue growth management, obviously, a focus on innovating behind the core, which is, as I mentioned earlier, usually at opening price points. And that allows us to take pricing in those categories. Price pack architecture and recessions has always worked quite effectively for us. So it really depends on the category and the market. Overall, we'll probably see a little slowness or a reduction in terms of value growth. Volumes, as I mentioned, people don't stop brushing their teeth. And in categories, which we mentioned, we in fact, think we'll see an increase in consumption moving through this.
Operator: And we can now take our next question from Mark Astrachan of Stifel. Please go ahead.
Mark Astrachan: Yes, thanks, and good morning everybody.
Noel Wallace: Hi, Mark.
Mark Astrachan: A quick follow-up. So one, just on Latin America in terms of how are you thinking about pricing in a market, especially some of the bigger countries where inflation is actually below recent historical levels. I mean, I recall more pricing to inflation as opposed to FX, so maybe just some thoughts there. And then secondly, just a reminder on input costs and the ties to oil kind of directionally, and how we should think about that potentially being offset by some of the higher costs that you mentioned before on manufacturing, other things you're doing around COVID?
Noel Wallace: Sure. Nothing -- on the pricing front, obviously, in some of the emerging markets, we're going to be quite prudent and cautious on how we're looking at pricing. Although historically, we have been quite aggressive in taking -- we took pricing in the first quarter. That will obviously translate through the balance of the year. We have plans to continue to look at pricing, and we'll do that quite creatively, either through managing our gross to net much more efficiently, particularly given store traffic being down. We'll do that through some of our channel focus as well. We'll do that through some of our innovation in terms of price points, innovation at different price points. So, we have different mechanisms that we'll be using. We obviously will gauge what competitors are doing. But given some of our leadership positions in most of the emerging markets, our intent will be to lead pricing. And we've always done that, but we'll be mindful of how we do that, particularly given the sensitivity in the current environment. On the cost side, we see, obviously, costs being a little less of a headwind than they were in the year-ago period. We've seen resins obviously come down. But on the flip side, prices have gone up, ag prices have gone up. But net-net, we'll see less headwinds than we saw in the back half of last year. And we'll watch it all very carefully. As you've heard most others talk about, there's typically a six to nine month lag between the drop of oil prices and where we see the benefit moving through, through the P&L. But by and large, we'll see a better environment in the back half of the year. And as I mentioned earlier, we'll start to see some of those costs from COVID subside, particularly as we bring some of that production in-house and some of the panic buying becomes a little bit more predictable. Difficult at this stage to say that, but we expect it to become a little bit more predictable, which allow us to get a better line of sight on how we want to handle capacity planning for our facilities and our contractors. And bear in mind, Mark, one other point is, obviously, some of the logistics costs associated with this, we're doing everything we can to deliver the customer service that our partners or customers are looking for and there will be some added logistics costs that will come in the year-ago period as well associated with this.
Operator: And we can now take our next question from Rob Ottenstein of Evercore Investment Bank. Please go ahead. 
Rob Ottenstein: Great. Thank you very much, guys. Noel, John, I want to call you guys out a little bit. The press release is very conservative. You're withdrawing guidance, but kind of everything I hear on this call is very positive. April is strong. You're raising advertising 13%. You're going to dial up marketing. You're crushing it in e-commerce. China's getting better. You're getting significant -- what you see as ongoing increases in your cleaning and sanitary products. You're getting pretty good volume in pricing in Mexico, Brazil. And your cost outlook in the second half of the year, you say, is very encouraging. So I'm a little confused in terms of the caution in the press release and taking away guidance, all things considered. And obviously, very, very tough environment out there, but the commentary so far has been so positive. I'm confused.
Noel Wallace: So listen, it's straight to what we said in the commentary. The unpredictability of what we're seeing across the world is at a level that we've never seen before. Obviously, India, we didn't anticipate would shut down like it shut down. We had plants and distribution channels shut down for almost two weeks. They're obviously coming back online as we speak, but that had a significant impact at the back end of the quarter and has had a significant impact in April. And we can't predict exactly where it's going to happen. Obviously, we've seen things creep up in terms of the number of incidences in Brazil. So, what happens there going forward. So again, it's the unpredictability of what we're seeing all around the world. And you combine that with the continued strengthening of the dollar around the world and the foreign exchange headwinds that -- gives us pause. And we've seen, obviously, a lot of volatility, likewise, in some of the consumption numbers that we've been talking about throughout the call. They're jumping all over the place right now. And so it's very difficult to get a line of sight on how things are going to ultimately unfold. Yes, the fundamentals of our categories are good long-term, but the uncertainty with government regulations and disruptions moving forward, we think it's the prudent thing to hold our guidance at this stage. And we'll come back to you as soon as we can when we have a little bit more confidence on where things are headed.
Operator: And we can now take our next question from Jason English of Goldman Sachs. Please go ahead. 
Jason English: Hey. Good morning, folks. Thank you for signing me in. Hope everyone is well and congrats to you and your firm for navigating the situation as well as you have so far. I want to come back to the last question because I thought it was a great question. I mean you responded to the part about why pull the guidance, I get it. But I think Rob and I had the same reaction to the press release and the same conflicting interpretation of this call so far. I want to zoom in on one line in the press release that maybe I read too much into. But in there, you say you expect government actions, consumer behavior related to COVID-19 and economic uncertainty to reduce category growth in many markets. I read that, and I interpret that as unequivocal deceleration on the forward. Maybe you were just simply referring to the exceptional growth in the first quarter. But when I listened to you walk through your expectations of each category and market, I hear lots of puts and takes. Skin care, a little softer, maybe a little bit of trade down in Oral Care, but all this is going to be offset by personal and home sanitization and cleaning. Is that the right interpretation? It's going to be choppy and slower in the first quarter, but as you think about underlying growth rates, while there's a lot of uncertainty, you don't really have a reason to think that your category is going to be materially slower going forward.
Noel Wallace: Yes, Jason, listen, if you look at the weeklies, the monthlies on the categories all around the world, and I've got them here in front of me, they're all over the place on categories like Oral Care. Obviously, you've seen more consistency in categories like liquid hand soap and bar soap and cleaners. The biggest unknown force, in our view, is the degree of the recession that we're going to see all around the world. And you combine that with the foreign exchange headwinds that we're faced with right now and ability to take pricing, which has always been a challenge in an environment like this, although we've had great success there, this is unique and a bit different. So it's really the uncertainty that we're seeing and the disruptions that we're seeing. So again, if big markets start to get -- have more lockdowns, that creates a significant headwind for us. It creates a significant headwind for the category. If we see unemployment jump 10%, 15% in certain markets, we've not dealt with that in the past. That will have some impact on the value orientation of our categories as well. So all in all, there's uncertainty moving forward. We're trying to position ourselves as well as we can. We've got good experience on this, but there is significant unpredictability based on what I've outlined earlier.
Operator: And we have no further questions over the phone at this time. I would like to conclude today's question-and-answer session. I'll now hand it back to your speakers for any closing or additional remarks.
Noel Wallace: Well, thanks, everyone. Obviously, unusual and unprecedented times, I want to once again thank all the Colgate people. It's inspiring to work with such an incredibly talented organization. We're greatly benefited by having a management team that has dealt with this level of uncertainty, but obviously, working hard to continue to deliver the results. And we look forward to having more discussions with everyone moving forward. Thanks, everyone. Be safe.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.